Operator: Thank you for standing by, ladies and gentlemen. And welcome to the Tsakos Energy Navigation Conference Call on the Third Quarter 2014 Financial Results. We have with us Mr. Takis Arapoglou, Chairman of the Board; Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. At this time all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I must advice you that conference is being recorded today, Friday, November 21, 2014. And I now pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relation Advisor of Tsakos Energy Navigation. Please go ahead sir?
Nicolas Bornozis: Thank you very much, and good morning to all of our participants. This is Nicolas Bornozis of Capital Link, Investor Relations Advisor to Tsakos Energy Navigation. The company released its financial results for the third quarter of 2014, this morning. The press release has been distributed publicly. In case if you do not have a copy of it, please call us at 212-661-7566 or email us at ten@capitallink.com and we will email you a copy right away. Please note, that parallel to today's conference call, there is also a live audio and slide webcast, which can be accessed on the company's website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please we urge you to access our presentation on the webcast. Please note that the slides of the webcast will be available as an archive on the company's website after the conference call. Also please note that the slides of the webcast are user controlled which means that by clicking on the proper button you can move to the next or to the previous slide on your own. And at this time, I would like to read the Safe Harbor statement. The conference call and slide presentation of the webcast contains certain forward-looking statements, within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements, involve risks and uncertainties, which may affect TEN's business prospects and results of operations. Such risks are more fully disclosed in TEN's filings with the Securities and Exchange Commission. And before turning over the podium, the call to Mr. Arapoglou, I would like to take a moment to congratulate Nikolas Tsakos for his election to the Chairmanship of INTERTANKO. On November 12th, the INTERTANKO's Council of Members met in Dubai and elected Nikolas Tsakos as Chairman of the association succeeding Graham Westgarth who stepped down after five years in that position. INTERTANKO is the Independent Tanker Owners Association. It has about 212 members with a combined fleet of about 3,100 tankers or 270 million deadweight. The associate memberships stands at about 300 companies related to the tanker industry and INTERTANKO stands for safe transport, cleaner seas, and free competition. Nikolas congratulations, I think the election of Mr. Tsakos to the Chairmanship is a major recognition for him personally and also for TEN, and now we can say that Nikolas is not only the captain of TEN but also the captain of the industry. Congratulations, it is a major I think distinction and honor. And with that I will pass the call to Mr. Arapoglou, the Chairman of the Board of Tsakos Energy Navigation. Mr. Arapoglou, please go ahead, sir?
Takis Arapoglou: Thank you Nicholas. Good morning everyone. Thank you all for dialling in today for the third quarter results. You have by now received the press release and I think the numbers speak for themselves. Our recent performance comes to I think fully justify our business model, especially in view of recent market developments and I am sure Mr. Nikolas Tsakos and George Saroglou will speak to this. I strongly believe that this quarter is a real inflection point at which TEN is starting to fire in all cylinders. We continue to believe that investors in our stock are taking a very static approach to the profitability dynamics of TEN. And as a result we believe that stock continues to be massively undervalued. Today's results is coupled with the high quality revenue of our long-term charted new building pipelines peaking in 2016 and easily justifies substantially higher valuations than the ones we have today. That's from me for now. I thank you all, I wish you all a nice weekend and Happy Thanksgiving and I turn the platform to Mr. Nikolas Tsakos.
Nikolas P. Tsakos: Thank you Takis and again we are very glad to announce significant profitability. But in our 21 years of trading as a public company, we have 18 years of significant profitability and 3 down years due to difficult markets. But again we use those three years of the difficult market as George will point out to increase the size of our fleet and to make the company be ready for the next turning point. But I agree with Takis, we may be very close to it right now. With this in mind I will ask George Saroglou, our COO to give us a quick overview of the last nine months and the last quarter. And we will be available with Paul Durham our CFO and myself to answer any further questions. Thank you.
George V. Saroglou: Thank you, Nikolas. It’s a great pleasure to speak with all of you today and provide you with the details of our operations and of another quarter and nine months. For those of you who are connected to the internet and our website, there is an online slide presentation whose format we will follow during the call. Let’s turn to slide number 3, we have a pro forma fleet of 63 vessels, 47 of which in the Shuttle tankers carry crude oil and if you want to breakout the vessels that carry crude, is we have one VLCC, 12 Suezmax’s after the company took delivery of two modern Suezmax tankers in mid June and in early July, with one vessel trading in a very strong support market with rates currently over $86,000 per day, and a sister vessel on a profitable time charter to a major oil company. 17 Aframax tankers, 8 in the water and 9 new building under construction for Statoil. The three DP2 Suezmax Shuttle tankers two already in the water fixed on long time charters and one another recently announced for delivery in the first quarter of 2017 which as we said is also fixed on a long time charter. And we have 14 out of the 28 product tankers in the fleet engaged for the moment in crude trade operation resulting in 35 vessels out of the 50 vessel operating fleet trading crude oil today. 31 vessels have their earnings tied to a surging spot market. We also have two LNG vessels including one in the water and one on order. Thanks to our balanced time charter philosophy we continue to operate the fleet at a very high utilization rates, almost 98% for the third quarter and the nine months of the year, when the average utilization of the tanker fleet in 2014 is expected to be a little over 87%. We have to highlight also the additional long-term contracted business with oil majors which adds to company’s current portfolio of new building assets. We announced two LR1 product tankers during the quarter and one DP2 Suezmax Shuttle tanker and if we add the nine Statoil LR [ph] and long term contracts as well. This creates a series of assets with potential growth revenue generation if all charter options are exercised of approximately $1.25 billion with average charter duration of approximately 11 years making most of these vessels ideal candidates for an MLP that the company is currently considering. We charted two Suezmax’s on profit sharing arrangements, two Panamax tankers, and one MR at fix rates which were higher than the expiring rates. The next slide has the financial highlights of our press release, strong improvement in every metrics leading to a profitable quarter and nine months. 20 million net income for the nine month period versus a loss of 1.9 million for the nine months in 2013. A 67% increase in the operating income at 46.8 million. 124.1 million EBITDA for the nine month period, a 20% increase over the nine months period of 2013. Very strong cash reserves of 213 million. 31 vessels benefitting from a very strong spot tanker market triggered by the reduction in the price of oil hence we have continued this impeccable debt service record since a few years back when we started the price of 2008, while we maintained fire power to grow responsibly. The next slide is basically a snapshot of the three sectors the company operates. We operate in crude, in products, and DP2 and LNG. The fleet is very sophisticated, that was built to fit the transportation requirements of the company’s clients. The details of the fleet in slide number 6, as you see here we have most of the fleets have been built primarily with new buildings especially after 1997, primarily in South Korea and Japan. We have currently, on the new building program 9 Aframax’s booked for delivery between 2016 and 2017. Two LR1 Panamax tankers for delivery in 2016, and one Suezmax DP2 Shuttle tankers for delivery in the first quarter of 2017, and one tri-fuel LNG for deliveries during the first quarter of 2016. The fleet is very modern with the average age of operating fleet today at 7.4 years, much younger than the average age of the global fleets. The clients of the company in the next slide, these are the clients with whom we do repeat business over the years, thanks to the quality of service, the fleet modernity, and the safety record of the enterprise fleet. In the same table besides the names we also list the top clients and the revenue of the company during 2013. On -- and the net income breakdown in Q3, as you can see we have a very low cost base because we have built the majority of the fleets before the rise of the new building prices and the current state of the markets which we have seen. The surge in the market which happened much earlier than the surge that we experienced last year and has positively affected the third quarter and the fourth quarter as we move the seasonally strong fourth quarter. You see where the rates environment is right now. We have some more color on the markets in the slides that will follow. The employment slides, we continue to have a balanced employment strategy with a mix of spot charter, CoA, and pooling arrangements, end period charters with fixed rates and minimum rates with profit sharing arrangements. We have 19 vessels on time charter with fixed employments, 11 vessels in profit sharing, and 20 vessels traded in a combination of spot, CoA, and pools. Another way of reading the employment details of the fleet is 33 vessel substitute employment from less than year to 14 years and 31 vessels have a running time in full or up to 50% of a minimum base rate to a spot market that continues to service. Let's see what we see in the markets, what we see in the market and what we see going forward. We have seen oil demand in the third quarter increasing by approximately 1.5 million barrels per day over the second quarter of the year. And that coupled with more on call movements of West African barrels or Asia and the fall in the price of oil after brand [ph] $115 in mid June which gradually led to increase of filings and this pushed our tanker freight rates higher making the third quarter of 2014 a strong and profitable quarter. The market serves first a firm server as we enter the seasonally strong fourth quarter, much earlier than the market firming we experienced last year. With the Groups stronger order book well balanced in equilibrium, refineries back from their maintenance, and demand for oil forecasted to grow by another 500,000 barrels per day in the fourth quarter and maybe more as a result of even lower crude prices and the winter season starting in the Northern Hemisphere. Demand for tankers and average freight rates in the fourth quarter should move higher, making 2014 the best year for tanker earnings since the crisis started. The lower crude prices, the price of that was currently down 32% from the peak in June, results in lower ship operating cost through the reduction of bunker fuel prices and bunker bills and that is for as long as it will last, will affect positively the company's bottom line. The fleet as we said, the order book, the fleet as we said is very well balanced and if we want to put a dollar value on the employments, -- the current employment status of the fleet on slide number 12, we see that as of today we have fixed 49% of the available days of 2015 and 30% of the operating days of 2016. Assuming only the minimum rates, we have secured 878 months of forward employments or 2.5 years per vessel and 800 million in minimum gross revenue. Slide 14, shows a track record in the sale and purchase activities since 2013. As we stated, sales purchase activities are integral part of our operation and the record verifies that, and fleet modernities is a key element of the corporate strategy. Besides the recent acquisition to attract the price levels of two modern Suezmax sister vessels to Suezmax that is already operating in the fleet. The company strategically and opportunistically could be seen divesting certain assets that provides capital gain and release cash. Fleet modernity while growing responsibly with committed business rather than building on speculation remained key elements of our strategy. On the dividend on slide 14, this is the history, the next dividend of $0.05 per common share will be paid on November 25th. We have announced also today an increase of $0.01 per share for the dividends to be paid in the first quarter of 2016. In total since 2002 we have paid $9.94 in cash dividends or approximately $400 million and this compares with the listing price in our IPO of $7.50 adjusted for the November 2007 221 fleet. Although we floated the company in 2002 at $7.50, our share price reached $40 in 2007. In comparison to 2007 we have a bigger operating fleet and new building program worked well out of the 17 vessels are tied to long accretive charters and most of them are fully financed, but the current share price doesn’t seem to reflect according to management, the company’s financial strength, the embedded company’s growth, and the growth prospects in the current state of the booming freight markets. And this is basically what we say in slide number 15, where we also have the most recent NAV calculation and release the analyst that cover TEN. The management vision is to continue growing the company responsibly and at the same time have this reality being reflected in the company’s share price. That concludes the operational part of our presentation. Paul will walk you through the financial highlights for the nine months. Paul?
Paul Durham: Thank you, George and hello everybody. As George has indicated, TEN achieved an operating income of nearly $14 million, 43% higher than the prior quarter three. And for the nine months 67% higher, at nearly $47 million. TEN's net income in quarter three was $5.2 million versus a prior quarter three loss of $1.4 million. Nine month net income was $20 million. When we add the strong quarter four, TEN will enjoy the first profitable year since 2010. Quarter three started unusually robust for the period but by late August it reverted to its cyclical norm with rates falling, mainly due to weaker Asian demand. Nevertheless quarter three net revenue reached $82.5 million, 12% higher than in the previous quarter three, while for the nine months $247 million was achieved at 15% increase. Our Aframaxes operated in a volatile spot market with average rates in quarter three just above breakeven, at 21% better than the prior quarter three average daily rates and now in quarter four reaching giddy heights. Average Suezmax rates were also 21% more than the prior quarter three, well above breakeven, and like Aframaxes moving to higher levels in quarter four partly due to high oil demand arising from low oil prices. Panamax and Handymax daily earnings were similar to the prior quarter three and only Handy side rates suffered a notable fall but this is reverted in quarter four as MR rates have also risen markedly. Quarter three generated $41 million EBITDA, a 16% increase over quarter three 2013. For the nine month EBITDA increased by 20% to $124 million, all of that was generating positive EBITDA. Operating expenses rose between quarters due to the Shuttle tankers and Suezmax’s but also due to expenses from three glide dockings compared to just one in the prior quarter three. We believe operating costs are benefitting from the recent strengthening of the U.S. dollar positively affecting crew and repair cost. While falling oil prices will reduce apart from bunker cost, the cost of lubricants. Finance costs were $9.3 million, a 14% fall mostly due to the decrease in loan margins and expiry of swaps. This was offset to a degree by bankers swap valuation falling due to the drop in oil prices. But lower oil prices were too late to affect quarter three bunker prices but will have a positive impact on quarter four bunker cost albeit restrained by the hedges. In quarter three we borrowed $39 million relating to the Suezmax EURO and $46 million in pre-delivery finance for the Aframaxes being built. We paid $27 million back, so debt at 30th of September was $1.4 billion and net debt to capital 51%. We have arranged finance for the Aframaxes and for the pre-delivery installments of the LNG carryout. And we have already drawn from both. Loan discussions have started on the LR1s and Shuttles. The combination of strong cash balances and free delivery finance leaves us in a good position to manage our short-term requirements without the need to seek additional equity especially while the current stock market appears unresponsive to our significant and responsible growth programs. Excluding the newly announced Shuttle tanker we have 12 vessels being build with a total agreed price of $779 million of which $176 million has been spent to date with no more expenditure in 2014. And this concludes my comments and now I will hand call back to Nikolas.
Nikolas P. Tsakos: Thank you Paul for finally good news. And I think we have been talking through the quarters and mainly through the quarters of 2014 about the tunnel at the -- the light at the end of the tunnel. I think we have been talking about this since our first quarter and we said that we were feeling that we are very close to it. If this is the light at the end of the tunnel, we are blinded at this time because the rates are very reminiscent of 2006 and 2007. I was happy to reject our chartering managers offer to charter one our Suezmaxes for a year at $60,000 a day. Today I might have to reconsider. And of course I think what this proves is that the lower oil prices means firming rate. So this is a double whammy for shipping. It was very strange for us to ship and I think not only as every other shipping company to ship and see that our share prices dropped significantly every time the price of oil dropped. I think this is something that we are trying to explain that is wrong and I think hopefully our message is coming across. So it is a double whammy, high earnings from the one side, lowering the cost of our bunkers which is the largest cost, and we are looking in the market that still has a couple of very strong seasonal quarters. As George mentioned, our breakevens are very low because we were able to resist ordering in the peak periods and this gives us a significant upside. Our Chairman mentioned the huge earning capacity of the fleet and I think today perhaps we are earning as much as we did in 2004 with doubling the fleet which means that if rates continue to where they are now or even less than where they are now we have a huge upside potential. We believe that we are preparing ourselves for two significantly positive years at least in the market. The supply and demand curve is finally in balance. Many of the segments of the crude market we have negative growth. So we are looking at a much rosier picture than we did at least two years ago. And we are glad that we have taken the company out of the difficult turmoil times, very strong with a stellar track record. We have continued dividend payments and we are all ready to reap the benefits of the upside. The insiders, the Board of Directors and the management has always been supportive of the company. We have increased significant stake in the last two quarters and we are in the same position with our shareholders to take advantage of this long awaited up surge in our business. We are seeing contango happening again. We are seeing a lot of buying from -- mainly from the Far East. We have seen the low price of oil trigger the imports significantly in China, from China and we are seeing a lot of our vessels trading there. Every dollar dropped for China, it means an increase to their bottom line in excess of $2 billion, so I think that's a very significant impact. So what we are seeing for the first time also demand starting to also re-emerge from the West. So with this good news I would like to open the floor for any questions. Thank you very much. Hello?
Operator: Your first question from Wells Fargo comes from the line of Michael Webber, your line now open sir.
Michael Webber: Hey, good morning guys, how are you?
Paul Durham: Hi Mike, very good.
Michael Webber: Good, actually fair amount to touch on, I wanted to first view in on the Shuttle tanker before moving to strength in crude and it’s been a while since we could really talk to that, but the first on the Shuttle tanker deal that you guys announced earlier in the month, I just wanted to get a sense of when the option expires on the second asset, what kind of capital outlay you are looking at, and then a general sense of return on the Shuttles and we can kind of move from there?
Nikolas P. Tsakos: Well this is a specialize side of the business that we are fond of, and this is business that is also I think very appropriate for going forward with our MLPs when the market normalizes eventually. And the second ship will be TEN, it’s not our option I wish it was because already it’s the option of the charters and it is within the first quarter of 2015.
Michael Webber: Q1 2015, great and I guess in terms of cost and return, I am assuming that rate is pretty sensitive otherwise you would have put it in the release. But if you can give us a sense of maybe the return you guys are looking at, with the help of modeling perspective?
Nikolas P. Tsakos: I will write and send it to you. I think this -- these are returns but is very accretive, is high double-digit IRRs at least and we don’t want to advertise this.
Michael Webber: Fair enough and just one more on the Shuttle then I will move to crude, in terms of the way you guys think about allocating capital here, crude is obviously already strengthening and asset values have moved higher. There seems to be a pretty big growth opportunity within the shuttle space in terms of how you guys kind of rank those sectors in terms of attractiveness now, in terms of deploying new capital, is it fair to say the Shuttle tanker space is towards the top right now?
Nikolas P. Tsakos: This is -- I think we are very happy that again we were I would say lucky to make the two big oppositions as George mentioned of the Suezmax's early this year before the market moved. And those ships of course have at least 25% increase in their value since which is not of course reflected on our share price. But that’s been a very timely purchase and of course we have [indiscernible] the one vessel I think will start to work close to $85,000 the last -- so I think we are very happy that we have done this acquisitions. And we have not stopped looking but I think specialized business like the specialized business like bunkers makes more sense.
Michael Webber: Yes, okay that makes sense. Along the crude space and you guys kind of detailing how strong that is right now and towards the end of the year mark you mentioned that we do see some contango in the curve, how close do you think we are to actually seeing like its more meaningful on the water storage, is it something you guys kind of here could have entered about the market in terms of actually physically walking to do that, and then I’ve just got one more on the charter environment but around store Tsakos, do you think we are to seeing that?
Nikolas P. Tsakos: I think we will start seeing significant contango next quarter because right now there is significant demand and the ships are busy actually delivering and stock piling cheap goods. I think what we are trying to do is also as an association as in contango this is -- we cannot influence our members but then not to remind them but slow streaming is not a bad idea.
Michael Webber: Got you. So, one more from me and I will turn it over, just on your comment earlier you mentioned your chartering manager brought you a one year charter at $60,000 a day on a Suezmax, I thought it is significantly north of where we go on your charter rates right now, is that where you think the market is and why did you turn them down?
Nikolas P. Tsakos: Yes, well I was surprised so I just wanted to receive it, it sounded very good. So, I think -- we are looking, I think if there is a chance to do this we will do a piece of business like that because I think it will be a very good benchmark for the market.
Michael Webber: Yes, I would agree. Great, I will turn it over. Thanks for the color guys.
Nikolas P. Tsakos: Thank you.
Operator: Thank you very much indeed. Now your next question from Stifel comes from the line Ben Nolan. Your line is now open.
Benjamin Nolan: Thanks. I have a few questions and maybe I will start with the -- on the crude side as you were mentioning, how do you think about or how are you guys approaching the action of OPEC and maybe could you even take a guess as to what you are expecting them to do. I mean is that a substantial -- is the production that comes from OPEC a substantial risk to the crude macro in the near-term or do you think that the underlying dynamics are sufficiently strong enough such that either there won't be a cut or even a cut would not make that big of a difference?
Nikolas P. Tsakos: Well, we don’t know what OPEC will do at the end of the day. But everybody expects the price of oil to remain low for at least until the next six months if not more. And so -- that way it is very good I think for first filing and for the tanker business, the crude business. So we feel that whatever the decision comes out of OPEC, even if it is a cut it might be the same like it happened in previous times, an announcement of a number and then members not to really meeting this new quarter. But the reality from what we read is that the oil price is going to remain low and this is going to be -- this is good for us.
Benjamin Nolan: Okay, and then related to your chartering strategy and again the data point in the Suezmax vessel is, boy that seems extremely robust, but in the past you have talked a lot about, the past few quarters you have talked a lot about the inquiry by either oil majors and others about doing new buildings on the back of long-term contracts and you have done that to some extent but could you maybe discuss where that is at the moment, are you still seeing the same level of appetite, has it increased at all, what types of ships are being considered in terms of these long-term charter new build programs?
George V. Saroglou: Yes, I mean looking back in our last I would say three past conference call I have always been saying that we are -- we have more business in our hands than we ever had for a very long period of time, long-term business. Now you know why. We resisted in chartering out lot of our ships, I think we mentioned this in our last call to you, where there is lot of business for long-term employment. And the business that we actually chartered from the recent fleet to companies like BP and several of the oil majors. However it has been with the minimum and a profit share and we are very happy that right now we are enjoying this significant profit sharing. Because we are client driven so we cannot just push our clients away but I think as long as we are there to share the upside, we are happy to do so. Right now the appetite is there and I think you look one of my quotes were, but the majority of the companies they know much more about what will happen in the future than we do. We are just the messenger and that's why they were pushing us for the last year to charter ships and I think the result of today's spot markets are obvious that they could see the supply and demand curve and they could see for tankers and they could see the demand and their expectations about the oil price. So in a sense we are glad to have resisted and the business is there. The business is I would say are stronger, not stronger as before so that’s a good indication for the medium to long term. I am not dreaming of a super cycle of the one we had from 2004 to 2008. But the characteristics of the market at least on the crude side supply, I think the turners in supply in some segments it is actually negative, the growth. So we would have self -- and hopefully the owners will not follow each other to start signing crude vessels right now. And there are no more openings for vessels to be build till 2017. So 2015, 2016, and 2017 look to be good years that’s the best I hope that we can show some of the strength, so we can enjoy good economics going forward.
Benjamin Nolan: Okay, that’s helpful. And the last two pretty quick questions I had, the first is on the dividend policy kind of indicated $0.01 increase next year, is that something indicative that we should be thinking about from on a go forward basis with respect to your dividend maybe due the small incremental increases in the dividend and just kind of as a program or how are you guys thinking about the dividends?
Nikolas P. Tsakos: As we should you know in October when we announced, this is at our end is to reward the shareholders. We happened to be the largest shareholders ourselves. So it’s nice rewarding all of us equally when the market is right. The $0.01 increase for next quarter is an indication that there is – for sure there upside, there haven’t been downside. So if the market continues to be where it is today or even close to where it is today, I believe that the Board will take the decision to normalize the increase. That will be a very good time, and our next Board Meeting would be in March and that’s when the next dividend will be announced.
Benjamin Nolan: Okay and then my last question quickly or briefly I guess is maybe for Paul, you guys with respect to interest expenses had the some of the swaps roll off so, is the interest rate -- the indicative interest rate that we can see here, is that a pretty good run rate for how we should be modeling interest on a go forward basis?
Paul Durham: Yes, I think that’s a fairly good standard to use. We are talking about as far as loans are concerned, an all in interest rates increasing swaps of just under 3%.
Benjamin Nolan: Okay, alright. Very good, thanks a lot, appreciate it guys.
Nikolas P. Tsakos: Thank you.
Operator: Thank you very much. Now from Canaccord you have a question from the line of Noah Parquette. Your line is now open sir.
Noah Parquette: Thanks a lot, lot of my questions have been answered already but I just want to get your updated thoughts on the VLCC segment, that’s a sector that you are not really as involved in as some of the other segments. Obviously there is a lot on your plate now. So just wanted to see what your updated view on the outlook on that and putting capital to work in there?
Nikolas P. Tsakos: Yes, thank you. You are very correct, we want to be diversified. We sold I think at the right time our older ships and we are looking to expand in this segment. We are in discussions with our first class yards and with first class stockers. I think our priority is to be more specialized side of the business that the Shuttle bunkers. But on the crude side I think we have -- we are quite well diversified, not the other segments as you perhaps remember we announced an additionally two Panamax vessels which is a category that a very few participants are there. And if you look at the Panamax order book I think it’s one of the lowest in the segment. Thank god private equity has not identified this target yet and I hope they will not. And so we just ordered two Panamax’s with the on contracts to Shell with the minimum, significant minimums in profit shares which is our typical strategies. But I think other than that the VLCCs, we have right now two major oil companies operating a 15 year business for VLCC which we will be concentrating and we will want to first finalize our investments and then look into it.
Noah Parquette: Okay and then moving on to the lower oil price environment, obviously it’s been a boon. On the supply side, you touched on this, with rates where they are and bunker prices coming down, are you seeing any pressure to speed up or are we anywhere near the levels where shift would start to speed up, if you can give some more color there?
Nikolas P. Tsakos: Again, we are -- it is only natural but with lower cost of bunkers and substantially higher and I am saying this looking at our technical managers here so make sure he doesn’t do this, you get the intimation to start speeding up. Our policy is to maintain one of the reasons that market is where the market is today is because prudent owners have kept the ground and they kept speeding anywhere between 8 and 11. And I think it will be long term, it would have a very positive effect for the market if we could continue doing so. But of course we cannot impose anything other than to our own company.
Noah Parquette: Okay, that’s very helpful. Thanks a lot.
Operator: Thank you very much sir. Now from Morgan Stanley you have a question from the line of Fotis Giannakoulis. Your line is now open.
Fotis Giannakoulis: Yes, if I guess, my questions have been answered. The only thing that I want to ask is about the LNG vessel that if you have any progress about your discussions in finding renewed charter in order to accelerate the timing of the MLP listing?
Nikolas P. Tsakos: Fotis Giannakoulis, thank you. We are right now in discussions following and block for both our LNG vessels, the existing vessels which is in the water and the Maria. So we hope that before the end of January we will be able to finalize a piece business. So we’ll be as we said MLP suitable, however we would also need the MLP market to start being a bit more suitable because from what we see recently the recent MLP they have been priced far away from what I think TEN would like to repay for a MLP. But you are correct, we will have hopefully new soon.
Fotis Giannakoulis: Okay, thank you very much for your answer.
Nikolas P. Tsakos: Thank you.
Operator: Thank you very much indeed sir. Now from Euro Pacific Capital your next question comes from the line of Mark Suarez. Your line is now open.
Mark Suarez: Good morning gentlemen and thanks for taking my question. Maybe question for Nick, we can start with where we stand today with oil prices and obviously we have seen improved short-term demand and I am seeing your chart or profile, should we expect maybe those TCs renew in 2015 with more attractive profit share components, I just thought to leverage your position in the market today, how do you see that developing over the next 12 to 18 months?
Paul Durham: Yes, I think this is a very valuable point. Of course when the market is moving what we do is we will share the renewing with higher minimums. And I think that’s the only effect that you can do if you continue with that policy, to look at the higher minimum. So what if perhaps you would access Suezmax at 20 in the past, today we will be looking to charter that 26, 27 and the profit share. So of course that’s a significant upside on the minimum.
Mark Suarez: So as you go to your counter party, do you feel you have more leverage than given where we stand in terms of short-term demand in the crude space, would that be a fair assessment?
Paul Durham: Yes, that’s correct. It is an owners market as we speak today.
Mark Suarez: Okay, good and then maybe going back to your fleet here and any potential sales, I think you mentioned in your press release there could be opportunities for any potential asset sales, that you prove fairly productive we see a situation where you can maybe possibly reinvest that capital into newer second hand acquisitions, possibly chartered attached and with that will you see putting that capital in the crude space or you maybe look at all possibilities there?
Nikolas P. Tsakos: Well I mean right now the ships that we have -- we have a very young fleet but our fleets are let’s say 12 years old, like our older Suezmax’s. Right now they are earning an amazing amount of revenue for us but sometimes the time to share is a time that everybody wants them, so they can have these revenues. So yes, we have not changed the policy. We are of course at a different sellers of our older components. This will give us significant capital gains and lot of cash to reinvest in newer ships going forward.
Mark Suarez: Okay and then just moving on to the income or income stand for the second or your daily operating expense, I know that lubricant cost have actually gone down and tracking down in the fourth quarter, how should we think about daily operating expense inflation as we head into 2015?
Nikolas P. Tsakos: Well, I think Paul will answer this.
Paul Durham: Yes, I think as far as operating cost is concerned there is a lot of good news and then just a little bit of bad, I’ll talk about. I think the first and most important thing as charters is concerned, that we have a new team running our technical managers. They are young, experienced, and dynamic guys who are really making an effort to keep our supply cost down. And most important I think and its quite important, the operational improvements have increased a lot. So our insurance record has gone from good to excellent with our premiums expected to fall over the next round of negotiations. Apart from that of course we have the dollar strengthening very significantly over the past few months. And as a good 25% of our operating expenses are in Euro, the stronger dollar of course is helping keeping cost down in that respect as well. So I think it is good news and some irritating news is back there in Greece we have to suffer a little bit of extra crude taxes and tonnage taxes. But it’s very manageable and that you have already heard. I think it's going well as far as operating cost, keeping it stable is concerned.
Mark Suarez: Okay, great. That’s helpful so, Paul do you think we could see those benefits in the fourth quarter or it is more of a 2015 event?
Paul Durham: You certainly, and we will rate them as far as the dollar is concerned keeping the cost down and I am certainly as far as lubricants are concerned, so yes you will see those in quarter four.
Mark Suarez: Okay, great. And one last one from me. I know you’ve increased your dividend and where we see this stuff pass today, do you think or you think there is a point where maybe the Board will consider using your share buybacks as an alternative to maybe yield some return to investors?
Nikolas P. Tsakos: Yes, I think share buyback is not a dirty word for our Board but I think they would rather reward existing shareholders with dividends. So this is -- I would say our first obligation is growth, reward the dividends to our shareholders, and then if there is none of those two around then the buyback is an alternative.
Mark Suarez: Okay, great, that’s helpful. Thanks for your time again.
Nikolas P. Tsakos: Thank you.
Operator: Thank you very much indeed sir. And there are no further questions at this stage. I will pass the floor back to you for closing remarks.
Nikolas P. Tsakos: Well, again thank you very much for the interest of the company. We are approaching the end of the year with a very positive note. We’re looking in a very strong 2015. Demand is there, supply is not there finally, and you know we hope that we are going to be navigating through much more profitable and calmer waters. What we want to achieve is to get our share price where it was. I think its ridiculously cheap right now and I think having grown out of the woods it should only go up from here. Right now the company is very well placed to take advantage of a strong market but we have also maintained a very good balance for weaker markets. So we are expecting things to be better, we are also more optimistic than we were a year ago. So thank you very much, have a very good Thanksgiving. And we will have our troops on the ground from December 1st for the Capital Link event and our CFO, Paul Durham and our marathon runner, Harrys Kosmatos, he doesn’t have a tag if he runs the marathon, he is going to be in New York for the Capital Link event and then to see whoever of you would like to have meetings with them. Keep them busy, thank you very much.
Operator: Thank you very much indeed. So with many thanks to all our speakers today, that does conclude the conference. Thank you for participating, you may now disconnect.